Operator: Good day and welcome to the FTI Consulting conference call. As a reminder, today’s call is being recorded. For opening remarks and introductions I would like to turn the call over to Mr. Eric Borribbon [ph] of SD. Please go ahead sir.
Eric Borribbon: Good morning. By now you should have received a copy of the company’s first quarter 2008 press release. If not, copies of the press release can be found on the FTI website at www.fticonsulting.com. This conference call is being simultaneously webcast on the company’s website and replay will be available on the site for 90 days. Your hosts for today’s call are Jack Dunn, President and Chief Executive Officer, Dennis Shaughnessy, Chairman, Dominic DiNapoli, Executive Vice President and Chief Operating Office, Jorge Celaya, Executive Vice President and Chief Financial Officer, and Dave Bannister, Executive Vice President and Chief Development Officer. Management will begin with formal remarks, after which they will take your questions. Before we begin I would like to remind everyone that this conference call may include forward-looking statements that involve uncertainties and risks. There can be no assurance that actual results will not differ from the company’s expectations. The company has experienced fluctuating revenue, operating income and cash flow in prior periods and expects that this may occur from time to time in the future. As a result of these possible fluctuations, the company’s actual results may differ from our projections. Further, preliminary results are subjected to normal year-end adjustments. Other factors that could cause such differences include the pace and timing of additional acquisitions, the company’s ability to realize cost savings and efficiencies, competitive and general economic conditions, retention of staff and clients and other risks described in the company’s filings with the Securities and Exchange Commission. I will now turn the call over the Jack Dunn, President and CEO of FTI. Jack, please go ahead.
Jack B. Dunn, IV : Thank you very much and thanks to everyone for joining us on our 2008 first quarter conference call. 2008 is off to an excellent start. Not only was the first quarter extremely satisfying from the perspective of our financial and operating performance, it was also a period in which we made very significant progress in furthering the strategic development of our business and its platform. Year to date we have made nine acquisitions that are consistent with our strategy to capitalized on our global platform by expanding our services into new markets. Several of these will also enable us to build the framework for a new global practice in real estate and construction to take advantage of the impending issues in those industries. And while not strictly a first quarter event, we have also recently completed the development of our new business plan for the next five years having achieved the key elements of our initial five year plan in 2007, two years ahead of schedule. I will share with you the key components of FTI 2012, our current plan, later on in the call. First however, I would like to give you the highlights of our performance in the first quarter and the drivers which shaped that performance. Revenue EBITDA on net income in the first quarter was the highest per any quarter in the history of our company. These records are particularly notable in that they came in a quarter which we believe is typically our least profitable because of the burden of payroll related expenses. Revenue in the period was $307.1 million, which was an increase of 35% over the $227.7 million that we reported in last years first quarter. Organic growth in the quarter was excellent at almost 30%. As you will remember, our organic growth last year was running at 24 to 25% in the second half, so our underlying growth in Q1 was consistent with that pace. As we discussed at our last conference call, we were seeing accelerated demand from the global credit crisis and this was certainly the case in the first quarter. Our business benefitted from an environment of very strong demand supplemented in some cases by very significant engagants that either came in or scaled up during the quarter. In particular our technology segment had a tremendous quarter, including intense activity in two very large short-term cases. Corporate finance continued to show significant growth and had the benefit of several success fees confirming the business model for the healthcare sector of that business, which is retainer fee plus success fee based. These tend to be slightly fourth and first quarter weighted depending as they do on measurable benchmarks that typically take several months to occur before you can recognize the success. The first quarter effect of these two large cases and the success fees was approximately 200 to 250 basis points improvement in our margins. We expect our margins to return to more normalized levels for the remainder of the year. Profitability in the quarter was excellent. EBITDA was $68 million up from $44.4 million a year ago. The EBITDA margin was 22.2%, a meaningful improvement from 19.5% a year ago. Our robust margin in the quarter was a function of the outstanding performances of technology and corporate finance, combined with the high revenue rate which leveraged our overhead expense. These serve to offset the typical first quarter burden of front-end expenses for such things as Social Security, 401K matches, discount on our employee stock purchased plan, and the timing differences between annual salary increases and the associated billing rate adjustments. We reported earnings per diluted share of $0.59, an increase of 64% over last year. This, again, despite a headwind of a 25% increase in the share count from the secondary offering we did in October plus the shares we issued in connection with acquisitions, option exercises, and share based compensation. Net income of $31.3 million was also a record. From a talent standpoint we had a productive period adding over 400 revenue generating employees so far this year. Our attrition rate in the first quarter was 3.4%, or an annualized rate of 13.6%, still one of the lowest turnover rates if not the lowest turnover rate in the industry. This excellent performance in terms of growth, profitability, expansion and retention demonstrates the true differentiation of FTI in the marketplace. Our intellectual capital, our broad array of diversified services, and our proprietary technology, all of which are enhanced and accelerated by our global network. A network that we are committed to strengthen and expand. Nothing demonstrates this differentiation of strength better than the recent global credit crisis where all of our business collaborated to anticipate and surround the issues and to provide clients with a vital service domestically and around the globe. Beyond our operating results, the quarter was also significant for the nine acquisitions that we have announced to date that increase our geographical and service breadth. We went into detail about them in the conference call on April 1st, so I will only discuss them briefly when I talk about the segments. But the bottom line of it is that they serve to advance our strategy across several different dimensions. We have created the platform for our new real estate practice which we expect to thrive in the current and future environment. We have extended our FLC practice into London, one of the worlds largest and most important financial and business centers, established our initial presence in the European political and regulatory hub of Brussels, built on our expanding business China, Latin American and the U.K. and augmented our capabilities in important areas for us such as e-discovery. Most of these acquisitions occurred either late in the quarter or shortly after the end. We would expect them to be meaningful contributors from this point forward, as we have stated, generating revenue of approximately $100 million and earnings per share of $0.12 to $0.16. A significant as all of these transactions are, we want to be clear that this is just the beginning of an ongoing process and will continue. Adjusted for the purchases which closed after the quarter we have, as of April 30th, approximately $150 million of cash on our balance sheet and $150 million of available credit on our bank facilities. This combined with our normal transaction structure, which also utilizes equity and performance components, gives us more than adequate resources to pursue strategic acquisitions. Now I would like to provide some color on the segment performance. As I mentioned, technology had an excellent quarter and was the largest contributor to our growth. Revenue in the period was $56.5 million, an increase of 71% from $33.1 million a year ago. In addition, EBITDA more than doubled to $23.3 million from $10.6 million in the prior period. The margin rose significantly to 41.3% in the first quarter from 32.1% last year. While continuing strong organic growth domestically and around the world, the segment also benefited from work on two very large short-term cases. FTI has a differentiated value proposition of domain expertise in key verticals such as pharma, financial services, hedge funds, banking and private equity, combined with the ability to process massive volumes of data. We call this our financial and enterprise data analytics. This has increasingly distinguished us and made us the partner of choice for assignments such as these which bring them highly profitable software licensing and processing fees. And this favorable revenue helped drive the expansion of our margins in the quarter. We will be continuing to develop, partner, and acquire additional products that augment our existing suite adding to our proprietary intellectual capital. The technology segment continued to develop this indirect channel strategy to leverage its traditional direct sales model and signed eight channel partners during the quarter. Finally, demand is increasing from Europe and Asia due to greater market awareness of FTI’s global presence, the opening of a European network operating center in the second quarter of last year, and our reputation for managing large and complex multi-national cases. Being a global player and part of a consulting firm with a core competency around litigation matters puts our technology offering in a different category from companies offering a stand-alone technology solution. Our technology segment also made an important acquisition, that of Strategic Discovery, Inc., which furthers our business in several important dimensions. SDI gives us a significant presence in the northern California market which will help us to better serve clients there and will act as a bridge to Asia where we can leverage their ongoing work with clients to extend other capabilities into that region. Furthermore, SDI will accelerate our expansion into the corporate marketplace for e-Discovery products and services, an important source of new opportunities for us. Corporate finance restructuring also had an excellent quarter, maintaining the momentum that had started to build in the second half of last year. Revenue in the quarter increased 28% to $79.3 million from $62.1 million a year ago. While EBITDA rose 47% to $21.9 million from $14.9 million a year ago. Margins expanded 360 basis points from 24% to 27.6% as it was able to realize higher billing rates and record a number of success fees. The segment was busy with restructurings in the sub prime mortgage, financial institution and housing related, primarily home building sectors. In addition, as the credit crisis matures its impact is spread to sectors that are affected by the reduced value of housing stock such as building materials, retail, consumer hard lines and mono line insurers. Most recently, we are finally seeing a tipping point with gasoline at $4.00 a gallon. As consumers must decide whether discretionary dollars go into travel, leisure, gambling, new clothes and consumables or go into the gas tank. Those industries will be challenged for some time to come and we anticipate being active for the foreseeable future. As mentioned, the healthcare practice within CorpFinn [ph] had a very good quarter where it was active in restructuring and consulting engagements particularly in the areas of managed care. While it did not close until early April, the largest transaction we have done this year was the acquisition of The Schonbraun McCann Group, the leading consultant to the real estate industry. SMG puts us squarely in position to be the preeminent advisor to the real estate industry, an area where we see a tremendous amount of opportunity. SMG will collaborate with our construction industry practice and a group within our corporate finance practice that has historically been the leader in serving financial institutions, structured finance companies, and real estate companies in their restructuring needs. Strategic communications reported another excellent quarter with revenue rising 42.9% to $54.6 million from $38.2 million a year ago. Segment EBITDA increased to $12.7 million or 23.2% of revenue from $10 million or 26.1% of revenue last year, reflecting a greater proportion of pass through revenues in the recent quarter compared to a year ago. The communications segment had good growth in retained revenue, especially in contributions from the businesses it has acquired over the past year, all of which are meeting or exceeding expectations. The high level of M&A and other capital markets translate related engagements that was prevalent a year ago has in fact subsided but FD has successfully replaced that work with consulting engagements to clients that are being affected by the global credit crisis. FD and the other FTI segments, primarily corporate finance and FLC are doing an increasing amount of joint work with clients who require investigations, performance improvement, and advice regarding strategic alternatives. We are delighted that the level of collaborative pitching continues to increase. Within our communications segment, we purchased Brussels based Blue Print Partners in the quarter, the leading public affairs policy advice and strategic communications consultancy in that market. Having a presence in Brussels has been a longstanding ambition of FTI and we would hope to continue to develop Brussels as an important hub of intellectual capital for all the company’s activities. Revenue and FLC increased 10.8% to $60.3 million from $54.4 million a year ago. EBITDA at FLC was $14.7 million compared to EBITDA of $14.1 million last year. As a percentage of revenue the segments fourth quarter EBITDA was 24.3% compared to 25.9% in Q1 ’07. The global business intelligence and investigations practice which was formed last year continues to perform extremely well, especially in Asia and Latin America, reinforcing our decision to invest significantly in both markets. To take further advantage of the Latin American market opportunity we are in the process of building out a new office in the south Florida region which will house all our practices and position senior executives to be at the front line of that emerging market opportunity. In general we have remained very optimistic about prospects in 2008 and beyond as the global credit crisis and turmoil in the financial markets has started to provide multiple engagements as yet only in the early stages. Issues involved will include valuation of complex financial instruments, financial statement reporting and investigations into business practices, all key areas of expertise for FTI. What’s more, our global footprint uniquely positions us to support clients on these matters regardless of where they occur. During the quarter we purchased several firms within our FLC practice. In addition to SMG we built out our capabilities in the real estate and construction sector with the acquisition of Rabeno and McGeon Consulting Group [ph] based in Washington D.C., and London-based Brewer Consulting. As you will remember, SMG will be in our corporate finance restructuring practice so we look for a significant amount of cross segment collaboration there as we build a virtual practice in real estate construction and related financial practices. These are very timely acquisitions, we believe, as the real estate and construction cycle is clearly maturing in government contract compliances issues are becoming more critical. We will be positioned with the strongest and broadest capabilities to protect our clients in what could be a much more vibrant, contentious and unfriendly business climate going forward. We also acquired Forensic Accounting LLP, or as we call it FA, the preeminent London-based independent forensic accounting firm. FA gives us the long desired solid foundation in London to provide a great European hub that ties into our practices on the continent and the U.S. and South America and Asia. We also acquired Thompson Market Services which offers a full range of intellectual property and brand protection solutions in China. TMS compliments our existing computer forensic and financial investigation capabilities in Asia to give us greater coverage of China to better protect the patents, copyrights, trademarks, and other intellectual property of our clients in that market. Finally, we purchased TSC Booth Brazil, the leading computer forensic and IT security consultant in the Brazilian and greater South American marketplace. TSC will be part of our international risk and investigations practice and will extend our e-Discovery and technology capabilities into this large and dynamic market where we are experiencing accelerating litigation, dispute, due diligence, anti-money laundering, and foreign corrupt practices activity. Economic consulting saw its revenue increase a very robust 41% to $56.4 million from $40 million a year ago. EBITDA and ECON increased 19.9% to $13.3 million from $11.1 million. Margins were 23.6% compared to 27.7% EBITDA margin. And while still very strong, we are affected by the expense associated with hiring a big named economist while his practice ramps up as well as higher equity based compensation expense due to the rise in our stock price. The credit crisis continued to benefit economic consulting as the strong revenue growth was caused by credit and liquidity issues in addition to strategic M&A assignments in sectors such as financial services, hospitals, airline, and internet IT. The segments revenue performance was also due to financial consulting engagements relating to transactions and with private equity buyers have been unwilling or unable to consummate acquisitions at originally agreed prices. And increasing frequency of private actions against companies and boards of directors alleging various result of credit crisis and liquidity and lack of confidence. Now I would like to discuss our plans for the next five years and where we intend to take the company. When we achieved our 2009 business plan last year, fully two years ahead of schedule, we naturally had to go back and create a new one that would take us into the future and excite not only our shareholders but our employees. After a significant amount of analysis of our markets, our internal capabilities, our international opportunities and our financial resources over the past weeks and months, we recently completed our FTI 2012 plan that covers the ambitions of the company for the next five years. The process included all of our segments, dozens of our leaders, formal surveys and input from our clients and potential clients. And it culminated in our recent senior management meeting with almost 100 of our top leaders from around the world. We are focused on delivering the plan and as you have seen from the first quarter results we are off to a strong start. I would now like to share with you the key components of plan. We intend to be the gold standard brand in the world, an employer of choice for what we call event driven consulting. We will achieve that goal through continuing to expand our global footprint. We have made enormous progress during the last few years but we need to continue to fill in our various services on all the key markets around the globe. Developing new products and services, for example the acquisition of FD 18 months ago created an entirely new segment within FTI and with the recent acquisition of The Schonbraun McCann Group we have created a new real estate practice to better serve clients in that industry and the real estate issues faced by companies in general. Increasing our penetration of the corporate market. We are extremely well placed with the intermediaries who bring us into engagement, such as law firms and private equity players. We believe we can have a more significant entrée to corporate executives and boards that can hire us directly. The acquisition of SDI is a great example of that. Building our brand. Everyday that passes FTI Consulting is touching more and more people in more places around the world. We intend to focus very strongly on building that brand awareness and strengthening its positioning around the world over the next five years to achieve gold standard status and awareness of everything we do as a company. We also intend to personalize that brand awareness and experience for each and everyone of our employees because it is they more than anyone else who exhibited their confidence in this company through their efforts and dedication. Finally, ensuring that our acquisitions are integrated properly each and every time, focusing on building one company with one mission, maximizing the cross collaboration between all of our business segments and all of our geographies. What this means to us from a financial standpoint is that we intend to be a $2.5 billion company by 2012 through organic growth supplemented by strategic acquisitions that extend our geographical reach and broaden our service offerings. Because of the huge opportunities that we see in international markets and the steps we have and will take to build our presence internationally, we expect that between 25 and 35% of that $2.5 billion revenue base will come from markets outside the U.S. As we are always mindful of profitability, we are targeting EBITDA margins of 25% excluding FAS 123 R option expense. Finally, as you would expect from us, we intend to maintain a very strong balance sheet. We think this plan hits a proper mix of ambition and achievability for us to continue to generate attractive returns to our shareholders and we intend to work very very hard to achieve it. Now a few words about our outlook. As you know, the company’s longstanding policy does provide formal updated guidance including a full analysis until the end of the second quarter. This enables us to have a more detailed understanding of the trends for the year and the underlying factors affecting performance and what might have changed from the work that we do extensively at the end of the year to put forth our guidance. Consequently we will be providing such formal updated guidance at the end of the second quarter as usual. However, not withstanding this fact, and based on the performance from the first quarter and visibility that we have from here, we did want to make some comments on outlook for the year even at this early stage, since certain indicators are already emerging. In brief, we expect organic growth in the 20 to 27.5% range for the entire year and are comfortable in saying that we now expect revenue to be in the range of $1.3 billion to $1.375. We also anticipate earnings per share will be in the range of $2.50 to $2.63. Incorporated into the informal outlook is the expected contribution of approximately $100 million from the acquisitions we made in the first quarter and just after as we discussed . We are retaining our previous guidance for EBITDA margins and share count and we now expect our tax rate to be 39.6% for the year compared to 44% in the first quarter last year. And remember there was a one time catch-up benefit in the second quarter last year as you do your models. Keep in mind that we expect to experience our usual seasonality in margins, not withstanding the exceptional performance in the first quarter. So you adjust for our out performances that were in Q1 and expect us to have our more usual margins for the rest of the year. To conclude, as you can see, the first quarter was one of the most successful in the history of the company on almost all fronts. I cannot help but say it is a tribute to our people, the intellectual capital and really the expansion of our global footprint which gives us a tremendous amount of range of options as we prosecute our business around the world. We begin 2008 with a tremendous amount of momentum and a strong financial position to fund our ambitious plans. We are embarking on a new five year plan that has been rigorously planned, endorsed by our people, and we believe is realistically achievable. We are optimistic, we embrace the future, we are focused and determined to indeed become the world’s leading provider of event driven consulting. With that I would like to turn it over to your questions.
Operator: (Operator instructions) And we will take our first question from Arnold Ursaner, CJS Securities.
Arnold Ursaner – CJS Securities: Good morning. Thanks for the very thorough rundown. Question about your plan 2012. You obviously are including a combination of organic in acquisitions. Can you give us a sense of obviously the 20 to 27% organic growth is probably not overly sustainable. Could you comment a little more about what organic growth is embedded in that?
Dennis J. Shaughnessy: Yes, it is Dennis Arnie. Let me take that. Number one, if you think of the plan which obviously has its inception being in this year as follows. If we end up the year at about, we will split the range and say one billion three hundred fifty million in revenues for the balance of this year, if you look at the run rate given that we do not have the acquisitions we have acquired already for an entire year, you are at about a billion four run rate, so the math works something like this. If you are a billion four run rate at the end of this year, if you grow over the next four years, the remaining four years of the plan at 11.5% organically, that would take you up to like $2.1 to $2.2 billion. We would look to acquire over the next 24 months another $200 million in revenues and businesses strategically placed around the world and we would expect that $200 million to grow obviously faster than the mother ship at 11.5% so that math would pretty much take you to the 2.5. So baked into the plan after this year, given this year the numbers are going to be very high is 11.5% assumed organic growth rate for the remaining four years. The acquisition of about $200 million in revenues in say the next two and one-half years and then a higher growth rate on the acquired revenues that would round it up to $2.5 million. Clearly if we experience organic growth rates that we have been seeing you know over the last three years which are much higher than 11.5% we will hit the plan faster but that is our basic assumption.
Arnold Ursaner – CJS Securities: And just one minor issue on the forensic and litigation consulting, that seems to be an area where activity seems to be very robust and yet your margins there and rate of growth were a little slower even than some of your other businesses, is there some factor holding back that business in the short run?
Dennis J. Shaughnessy: No, I think we have received a fair amount of engagements. I think there tends to be a lag between when you’re hired or when you are clearing conflicts with people to begin to start work on these and when they really start heating up to where you are billing a lot of hours. And I think what we are seeing at least in our shop there as far as the litigation support I think it somewhat of a lag period and I think you would probably see a more robust second half there. The investigative side is actually busy as Jack said. We are very busy in Asia, we are very busy in Latin America and so I think that you know we would say stay tuned, you should see better numbers in the second half.
Jack B. Dunn, IV : Arnie we have got a lot of medium sized litigation cases we are involved in but it is really the mega cases that we are not seeing at this point where we can put 20 to 30 professionals on them that really driven some of the successes we have had in the prior years. You know right now there is a lot of blocking and tackling and we are just waiting for the larger cases to come down the pipe.
Male Speaker: Yes I think as we look at them we test the bell weathers for that business. Our performance is very good compared to others and I think it is a tribute not only to the quality we have in the division but also to the fact that through the global footprint we have been able to go to where the action is and I think that is a differentiator for us and an advantage in the marketplace.
Arnold Ursaner – CJS Securities: If I can ask one more real quick question. To achieve your longer term plan, what sort of head count growth do you believe you need over the next four years.
Jack B. Dunn, IV : At a minimum it would be on the internally, for the internally generated businesses it would be somewhere around that 11 to 12% minimum amount. Kind of ameliorated by the fact that we continue to see our scalable business such as communications and technology growing so we can do a little bit less in head count and little bit more in terms of the scalability. So around that level is a good healthy level for us.
Arnold Ursaner – CJS Securities: Thank you very much.
Operator: And we will take our next question from Andrew Fones with UBS Securities.
Andrew Fones – UBS : Yes thank you. I was wondering if I could go into a bit more detail on the guidance. Could you give us a sense of what you are assuming for depreciation, amortization, and interest expense for the year? Thanks.
Dennis J. Shaughnessy: Andrew, it is Dennis. I think as Jack said in the speech, we have always found that it makes sense for us to review guidance after we have two quarters of data to look more at cost trends, margins, pricing. And plus having the visibility of the last two quarters, so we felt had to acknowledge the obvious impact of the first quarter on the overall plan and that is why we tried to share with you our outlook. But we really think the smartest thing for us to do is to wait until we have another quarter to go into a deeper dive at least to share with you guys our feelings on margins, cost trends and the final visibility. So we are not going to talk about that.
Andrew Fones – UBS : Okay, in terms the end of quarter head count, can you just walk us through what acquisitions are included and then the acquisitions that are not included what impact they will have on head count beyond the end of March. Thanks.
Male Speaker: We gave you the total head count as of May 1, as you see in the press release it was 3,094 and of that we have had approximately, I believe, 445 people came to us during the period through acquisitions and the rest of the growth would be from just our normal hiring and practices. And of course that was all augmented by the fact we had a tremendously low turnover rate so the nice news is that people are not in any hurry to leave FTI. It seems to be a pretty good place to work.
Andrew Fones – UBS : But if I look in kind of detail, is it just SMG that is not included in these quarter end head counts.
Dennis J. Shaughnessy: SMG is not in the first quarter. They are included in the May numbers that we gave you. Forensic accounting is not included either.
Jack B. Dunn, IV : The FLC acquisition in London.
Andrew Fones – UBS: Okay thanks. And then just a quick final one. You gave us the margin impact in the technology division for the two large contracts, thanks for that. Could you give us the revenue impact as well. That’s all, thanks.
Dennis J. Shaughnessy: Because of the sensitivity of the engagements we really don’t break out individual revenue impact. You know I think it was the probability of them that help shift the first quarter into such a large EBITDA improvement and we thought we needed to show you that in order to make sure that you understood why we felt our margins for the balance of the year will be normalized. So we do not give our individual revenue guidance. Sorry.
Andrew Fones – UBS: Okay, thank you.
Operator: And we will take our next question from Brandt Sakakeeny with Deutsche Bank.
Brandt Sakakeeny - Deutsche Bank: Hi. Thanks. Sorry. Just to get on the margin question. Did you say 250 basis points of success fees in the quarter or what that related specifically to the technology. And then as I look to the second quarter traditionally you have about 100 basis points of leverage, 1Q to 2Q as you get through the Social Security and 401K stuff. Are you saying that the second quarter should be flat with the first quarter because of that or traditionally because of the seasonality.
Dennis J. Shaughnessy: We would expect the second quarter and third quarter to look something like the first quarter, maybe a slight improvement. And then the fourth quarter would have its normal blip up for all the reasons we have talked about in the past. The 250 basis point improvement in margin is a result of the combination of more success fees than we have planned that hit in the first quarter and the profitability since we had two very large jobs in technology. And technology by its nature has the highest profit margin of any of our divisions. Those two factors together created the 250 basis point improvement.
Brandt Sakakeeny - Deutsche Bank: Okay. So traditionally so maybe 2Q and 3Q might be flat with 1Q or down 100 blips to adjust for all of those.
Jorge Celaya: Brandt, it is Jorge. Usually the impact of the items you mention that you said 100 basis points it is usually a little more than that.
Dennis J. Shaughnessy: Yes I was going to say we get to your conclusion by looking at the 250 basis points kind of what is offsetting what is usually the difference in the first quarter. Between the first quarter and the fourth quarter.
Brandt Sakakeeny - Deutsche Bank: Okay. Yes, I was just eyeballing it. It looked like 60 bips last year. Okay. That is great. Do you have stock based comp for the first quarter?
Male Speaker: At 1/23 our end total was $6.7 million. You will see it on the cash flow statement.
Brandt Sakakeeny - Deutsche Bank: Great. And then I guess just finally update on the integration of the acquisitions. Are those going smoothly and any comments you have there? Thanks.
Dennis J. Shaughnessy: Yes I think the integration of the acquisitions is going extremely right now. We are seeing everybody, as David Bannister likes to say, there is nothing to help grease that wheel as there is being busy. And everybody is extremely busy as you can see from our results. There is plenty of work. They are handing work back and forth. That is something that really makes integration tend to go well and we are very very pleased with how that is proceeded.
Brandt Sakakeeny - Deutsche Bank: Perfect. Great. Nice quarter. Thanks.
Dennis J. Shaughnessy: To the people who have joined us, we have great new partners and welcome aboard.
Operator: And we will take our next question from Scott Schneeberger with Openheimer.
Scott Schneeberger - Oppenheimer: Thanks. Hi. Congratulations guys. In the technology segment, the value added resellers, you mentioned I think eight new signed on. Could you give us an update on how that is progressing and how that is jogging revenue.
Dennis J. Shaughnessy: I think it is progressing well. As you know it is a new initiative to build an indirect channel for the technology offerings. It really commenced sort of at the end of Q3 last year and in Q4. We are now seeing the actual partnerships being put together and again it had minimal impact on operations in Q1. I wouldn’t expect to see significant impact in Q2 but I think you will start to feel we will start to feel a good impact from these channels in the second half of the year. There are people either strategically located in places of the world where we see activity and they have a stronger domestic presence than we do. Maybe a stronger identity in the marketplaces than we do. Or they are brand name partners who have a need our technology in their right and through a channel partnership see it as the best way to go to market to serve their own clients. So no impact Q1. We may see a little impact Q2. We will be hopeful we would start to feel a much better impact from there. And we intend to add more channel partners again we are not looking to get channel cluttered but I think we clearly are looking for opportunities to partner up with people on distribution especially in unique parts of the world that we feel say even a better position than we would be able to distribute.
Scott Schneeberger - Oppenheimer: Sure. Thank you. Could you update us on mix of fee based versus recurring in tech consulting?
Dennis J. Shaughnessy: It is approximately, the number approaching 60% fee based. So it would hosting technology licensing fees and general technology processing fees versus time and materials consulting.
Scott Schneeberger - Oppenheimer: Okay thanks. And then some commentary about looks like you are planning on being more aggressive with these future acquisitions in the technology consulting segment. I guess could you speak a little bit more to that and then also your thoughts as from time to time there is consideration of spinning that segment off. With the new five year plan it sounds like you are moving away from that, talking about acquisitions. Could you just bring us up-to-date there.
David G. Bannister: Regarding acquisitions in the technology space, as you know one of the foundations of that business was a small acquisition we did in Australia a number of years ago, Ringtail. We continue to believe that technology group is the best position in the market. However there are additions or augmentations or extensions to its intellectual property that could significantly extend that lead and really make it a company that has a very strong foundation in the software space. We have any number of folks we are talking to and think there are some things there that could make some sense for us as we have said repeatedly in the past. And we will continue to evaluate them carefully. We have experience in doing those sorts of acquisitions. We have a great team in that division who is looking hard for us. We have a leader in Eddie O’Brien who founded Ringtail in Australia who particularly is spending time on this along with Dave Remnitz and Joe Luvy and some other folks. We will continue to look hard in that space. As it relates to a potential liquidity event or spin-off or what have you, I think we have consistently said we will evaluate any options that we think enhance overall shareholder value and it is certainly not on the table or off the table. It is something we are continuing to look at and will continue to evaluate as the year unfolds.
Scott Schneeberger - Oppenheimer.: Okay. Just one real quick follow up there. As far as acquisitions going forward and with you sounding aggressive, certainly it looks like you will be looking strong at technology. Any other segments more than others that might get a little bit more weight to the future acquisition strategy. Thanks.
Jack B. Dunn IV: Scott, I think as we have said consistently we think the real opportunity for us to continue to add meat to our bones internationally in all of our practices. If you look our themes in the first quarter we added forensic ability in London for the first time. We added it to the construction business in London and into the Middle East. We added technology capability in South America. We added some intellectual capability in China. It is those sorts of things that we particularly focus on. It is less focused on practice or segment and more on where do we have holes in our practices around the world. That having been said, we think that obviously with the restructuring market very hot again that we think there are some opportunities in that space to add intellectual capital and capacity in that space. So that might be something that gets a little more emphasis. But I really think the international growth opportunities is where we will be spending most of our time.
Dennis J. Shaughnessy: Scott, I think it was critical for us to be able to open up the right type of operation in Brussels. I mean Brussels on a scale of the economy, people, I mean it is going to become the Washington D.C. of Europe. We are delighted with the acquisition we were able to make. The people there are very very wired in already into the appropriate ministries. And with our economic business picking up as the European commission increases its scrutiny of its European based companies as well as U.S. based companies, we think that this acquisition will give us the perfect entrée to start to build more practices on top of the delivery platform that we have acquired there. So we are very very pleased with that and we would see us being very active to build that up. The other areas that we are looking at very closely are the emerging markets in Europe. We have a rapidly growing office in Russia, in Moscow. We are looking hard at what our best entrée point into some of the very dynamic economies in central Europe. So that would be the other area of interest for us.
Scott Schneeberger - Oppenheimer.: Okay, thank you very much.
Operator: And we will take our next question from Tobey Sommer with SunTrust Robinson Humphrey.
Tobey Sommer - SunTrust Robinson Humphrey: Thank you. I wanted to dovetail on a previous question. When I look at your international offices, the principal ones, London, Hong Kong. How many of your current service offerings are available in those markets and any commentary you could have what pace in terms of expectations you would expect to be able to offer more of those services over time.
Dennis J. Shaughnessy: I will start off. In London we now have our forensic group is there through the acquisition. Construction under the forensic group is also obviously there with Brewer. FD is of course their international headquarters is London. As you know we were very lucky to acquire the restructuring team out of Ernst and Young in London and they have been doing very well for us. You know the technology team through acquisitions and through organic growth is also based in London that services Europe. And we have a network operating center dedicated to their use which is outside of London. The only practice that we don’t have physically located in London where we are parachuting people in to the do the work is economics.
David G. Bannister: Tobey, I would like to add something. When you look at London in the corporate finance area for example, we have about 20 people, that should be a substantially larger practice over time. In the forensic area we have about 40 people, that should be a substantially larger practice over time. So while we are there we have very strong practitioners and very strong partners. Those are significant growth opportunities for us.
Dennis J. Shaughnessy: In Asia we have predominantly our FLC practice as represented through the international risk operation, the Thompson operation which are focused on investigations, IP dispute mitigation and very politically sensitive types of due diligence. We have just started a restructuring practice in the Singapore area and obviously it is a drop in the bucket but we would expect it to grow fairly dramatically. We are very active in our transactional support work on behalf of hedge funds, private equity funds, investment banks in the Asian marketplace through a combination of our offices out in Asia as well as parachuting people in. But again it is very growing very rapidly. FD of course their Asian operations are in Australia as well as a sizable operation in Hong Kong. They are the preeminent communications consultant out there. But we certainly have tremendous room to grow on restructuring. We have tremendous room to grow in forensics. We just are barely scratching the marketplace and I think you will see us in a lot of resources and assets out there. And to just finish up, we are very happy with the growth and attraction we are getting in the Middle East. We are now in Abu dhabi, Dubai, and Bahrain. We have been able to represent everything from the families to the sovereign funds to corporate clients over there in a wide variety of opportunities and we would expect to see that market grow significantly. It is serviced locally on the ground out of those offices but also supported both out of Hong Kong and London. And then finally, as we talked to you before our Latin American business not only on the special investigation group which is printing incredible numbers for us right now, but also FD has made a serious commitment through an acquisition and organic growth into Latin America. They are now in Panama, they are in Columbia, Mexico, Brazil and Argentina. We are very excited about those growth opportunities too. So it is not only just the London and Hong Kong sites that we think will grow. The other areas are contributing and in some cases at a much more rapid pace.
Dominic DiNapoli: Tobey, just a follow up on the London point. London is our second largest office in the company. And we have an excess of 300 professionals in London and that is really our hub in Europe and I think you will see us branching out to other countries including Germany could see something, France, Italy, Spain. So we really look at London as the hub and will support the spokes in the rest of Europe.
Tobey Sommer - SunTrust Robinson Humphrey: Thank you very much, very helpful. I wanted to ask you a question about the technology unit which has seen a significant ramp in ongoing software and fee revenue as a percentage of the overall segment mix. Given the fact it is close to 60% do you have any expectations you could share with us about how that mix shift may proceed. Perhaps in your 2012 plan. Thanks.
Dennis J. Shaughnessy: I will start off Tobey. I think the nice thing about the technology revenue for the most part is recurring. So clearly licensing fees unless people switch out change out technologies recur versus project consulting revenues where you have to replace as the project goes. So I think it is natural to iterate going forward that as you get a larger installed base as these indirect channels of distribution kick in and start feeding even more technology revenues through to you then I think you will probably see a higher percentage of revenues technology to consulting each year. It is just iterative. I think the other thing that would influence it is going back to David’s statements and that is predominantly the acquisition targets or companies we are investigating are technology based companies. They are not consulting. SDI was a consulting based company as well. So in that instance it is somewhat of highbred and looks like ourselves. But the other ones that the teams are investigating right now or in conversations with are pretty much pure technology plays. So that could accelerate the change in the percentage even farther away from consulting. As well as expanding the pie.
David G. Bannister: At the same time Tobey we really think that the highest and best valued software or technology companies are ones that combine both the proprietary intellectual capital in the form of software and products with experts who can apply it in the most complex situations. So if you look at the highest valued companies in the market you will see that combination of really expert applications as well as expert services. Software or service companies. So that really is strategically where we are taking it. We do not think just the technology alone or just the people alone solves the clients problems. We really need to attack them with both.
Tobey Sommer - SunTrust Robinson Humphrey: Thank you. I will finish with one last question. The economic consulting business has seen very good growth and utilization. To some extent M&A has been a driver in prior years. I was just wondering if you could comment on the resiliency of that given the fact that M&A on an overall basis has slowed. Thank you.
Dennis J. Shaughnessy: As you know there are not only specialists in antitrust but also in regulated industries. And you are seeing the situation now where the M&A milieu has moved from people that want to to people that have to. You cannot pick up the paper without looking at people that because of liquidity, because of oil prices, because of any number of factors, competitive factors are being forced to the marriage table. And not only that they are being forced to it with some degree of expediency because the administration is going to change presumably or at least there will be a new level of activism potentially in Washington in the upcoming years. So we are seeing still in terms of that kind of area especially in regulated industries we are seeing a heavy continuation of our activity in that area. So it has been a very good market for us. We also are seeing a lot more antitrust litigation activity. Again as times get tougher and people take a closer look at what the competitors are doing and people take a look at their competitors that get to the altar before they do in terms of acquisition are taking a very hard look at that. So our business continues to be robust.
Jack B. Dunn IV: And we have without a doubt some of the top experts in the world in the whole area of complex damage calculations, model building, class action certifications and race for either resisting certification or trying to change the impact of certification. As you can imagine with the financial crisis that we have all been watching a lot of very large financial institutions have already started to reach out and retain some of our top people in anticipation of some serious class action type of suits to be filed against them in the future. So we would expect that side of economic business to be very busy in the next two years.
Tobey Sommer - SunTrust Robinson Humphrey: Thank you very much.
Operator: And we will take our next question from David Gold from Sidoti & Co.
David Gold - Sidoti & Co.: Good morning. A couple of questions. On SMG, I think on the initial conference call you mentioned just a little bit of that business was restructuring based. Curious there how long presumably it takes to sort of in this environment transition it a little bit and also what you see in light of the slow down in real estate transactions in the first quarter.
Dominic DiNapoli: Actually very little of their business was restructuring. They had a small practice that did some evaluation of leases to come up with potential asset values in a restructuring or bankruptcy. Their core business is in the M&A area. They do a lot of valuation work. They do a lot of real estate strategy and their clients are predominantly the big weights in real estate companies. One of the opportunities that we see with them is expanding their client base to the many corporate and financial institution clients that we currently serve.
Male Speaker: David, what they represent on the restructuring side what we are excited about their contribution is, they represent a solution to many of the restructuring challenges that our teams are facing as they are in a lot of these companies. SMG represents sovereign funds as a conduit of capital. They represent offshore investment funds and banks. And they represent the cream of the crop in world class developers and they are in a perfect position to work with our restructuring people that are already in the jobs to try to help develop a real estate strategy. Bring the right players in to acquire the companies as part of that strategy. It might be anything to decrease debt, it might be something to rationalize retail operations. You can imagine if you can apply that kind of expertise into a restructuring. So we would view them as an aide to the solution not so much extra manpower to dump into a restructure product.
Jack B. Dunn IV: The existing skill sets they have a very applicable to major restructuring assignments. They do not need to do things differently. They need to go in with our teams and help people out and really bring that focused expertise to the engagement.
Dominic DiNapoli: When you look at what is going on particularly in the private equity business where transactions have slowed down, numbers of transactions. What are the principals trying to do, they are trying to create as much liquidity in their portfolio clients as they can. And one of the core expertise that SMG brings to the table to us is helping to sell lease backs and bringing their existing clients to the table to liquify some of the assets of the portfolio clients. And they in particular are very active in the healthcare area where they have a number of their clients that do sale lease backs of hospitals. So with everything going on in the credit markets they really help to bring a liquidity solution to many of our clients. Not only our struggling clients but some of the better performing clients that just want to maximize on their cash returns.
David Gold from Sidoti & Co.: So it sounds like an aggregate presumably figured out places where the teams can work together and now it is just a matter of cross selling those engagements?
Male Speaker: Absolutely. And last week we had the first meeting of all our key real estate people across the country to create our real estate construction solutions practice where we are going to combine the skills of all our real estate professionals and apply those skills across the board in all the projects that may have some application to real estate.
David Gold from Sidoti & Co.: Got you. And then while I have you one other sort of longer term fundamental on restructuring. One of the experts heard from recently suggested that given the way the landscape has changed that fundamentally that may have been a big change in the restructuring or say bankruptcy market on the basis that a lot of the debt out there is basically covenant light and perhaps that is one of the reasons we have not really seen the elephants just yet. Curious on your thinking there.
Male Speaker: Well you are right. One of the things that may be frustrating over the last couple of years we saw many, many deals being done at multiples that we thought were going to create problems if the economy continued to grow. Now a lot of these deals that had been able to be refinanced are not getting refinanced and we are seeing the lack of liquidity causing a lot of companies to come to the table. A lot sooner now than they had over the last couple years. It was the covenant light deals that were allowing companies to mask the real operational problems that they had with refinancing their deals and moving on, like musical chairs. The music stops now where you cannot get financing as readily. We are getting a lot more active in going to the table on behalf of the banks or the companies to actually fix the businesses. As Jack mentioned with the economy and oil at $120 a barrel discretionary spending is significantly contracting in the United States. You guys see a lot of opportunities in the industries that historically have been able to use restructuring as a tool including real estate and anything related to the home building from materials to the actual builders. We are very active in that area. And you are going to see it in the leisure industry. Travel is going to be significantly restrained because of the lack of cash to pay $4.00 for a gallon of gas.
Male Speaker: David, I never like to miss an opportunity to talk about our people and we do a state of the union message in restructuring every year and in our January 31 report this year talks specifically about what you are saying. We noted that many of the transactions were covenant light but when those entities went back to reborrow which inevitably they do, the lenders were getting their pound of flesh in terms not only of significantly more restricted covenants but also in terms of fees. So it is turning out that yes the tap has been turned a little bit here in the last couple of weeks but the people who need it the most as usual are finding the hardest to get and they are really having to swallow a lot of stuff. So there is as much business potentially for us and we are starting to see it in the renegotiation of these deals as there is what would be a more fundamental restructuring. But I do note that with all that said both Moody’s and Standard and Poors are looking for a three fold increase in the default rates coming up. And you just have all kind of indicators that indicate that is eventually going to be the case. You had this year I think also all of last year there were 100 bankruptcies for either or large, private or public companies. And this year already we have had 55 in the first quarter. So it is starting to get back to something that is more predictable and recognizable.
David Gold from Sidoti & Co.: So not really a long term. Maybe just thinking for the last couple of years just a delay.
Dennis J. Shaughnessy: Don’t forget and I will use the terms they had at one of the biggest private equity firms, the private equity firms who did most of these deals were getting five to seven times EBITDA leverage when they put the deals together. He describes these deals now as zombies. They are alive, they are cash flowing, but the problem is you can only borrow two to three times on them so effectively the private equity firms have no equity in the deals. So even if they are servicing the debt the private equity firms have gotten phenomenally introspective into their portfolios and we are now starting to see work being brought in to help change the actual game plan so they can defease debt so they can change the numbers around so they can rebuild some equity into the investments they made given the change in the capital markets. So I think that is a real trend. I do not think that is going to go away until at least we sort of see the round of investments that were made in the last three years have to be harvested eventually and we are going to have to change the game plan.
David Gold from Sidoti & Co.: Perfect. Thank you all.
Operator: And we will take our next question from Kevane Wong from JMP Securities
Kevane Wong – JMP Securities: Three things. First I will try the question that other people have tried to do. There were a few things that obviously helped the quarter here. The success fees in restructuring and then the two large cases in technology. Can you give us maybe an aggregate how much these sort of I don’t want to say special but sort of sizable pieces that help the quarter impacted top line and bottom line or just bottom line.
Male Speaker: In the aggregate between the cases and the success fees you probably had a benefit of around 12 or 14 million in revenues.
Jorge Celaya: Well we said the aggregate of them was about 250 basis points.
Kevane Wong – JMP Securities: I thought you said that was just for one of the segments.
Jorge Celaya: No no it is in the aggregate. The success fees and two cases in aggregate.
Kevane Wong – JMP Securities: Oh okay. Perfect. And then also looking at the economic segment, utilization at 90% in the quarter obviously very high. Was there anything that made that bump up or is it simply a lot of cases and in response you would hire more people to try to bring that down to a more sustainable level over the year here.
David G. Bannister: As we mentioned we are very much aggressively looking to hire more people. But not to bring that down we would like to add more people at 90%.
Kevane Wong – JMP Securities: You don’t want to burn them out either right.
Male Speaker: Well if you look historically our economic consulting practice has got some of the highest levels of utilization and it is very common for them to be in the high 80s to 90%.
Male Speaker: All joking aside, they are involved in some of the most interesting world literally and the work is not a burden to them. You think about 90%. That is working 36 hours a week or something like that. It is office based, they are not out on the road like many of our people that we hardly ever see because they are continually out on the road. So this is interesting stuff that you would want to do all of this that you can. It is very rewarding and challenging and you are butting heads with the greatest minds in the world. So it is not a model where I believe they are being burned out at 90%. I think they are enjoying every minute of it.
Male Speaker: And clearly we added capacity to top which is reflected in the fact that the margin declined temporarily because of the ramp up time but we had announced previously that we were able to bring Dennis Carlton back who was Assistant Attorney General in Justice for antitrust chief economist. And Dennis has given us significant capacity at the top end and we are building teams around Dennis to work with him for the balance of the year as he starts to re-engage into the practice. We have added capacity to the top and that is a significant addition for us getting Dennis back.
Kevane Wong – JMP Securities: Great. And then also the last one. People are obviously concerned there is at least one pulling number that have had a more of an impact on their demand simply because of where they do their consulting. Just to sort of allay the fears could you address are there any points or parts of your business that are having any negative impacts from the current economy or is it really not a problem where you are positioned.
Male Speaker: One of the things we have noted is that there has been a shift in work in our strategic communications where as we had hoped but you never know until you are in the crucible we had hoped that the stacking of some of the IPO transactions would be offset by the reason that it is giving rise to that the liquidity crunch would create some need for additional strategic and even crisis communication and that is clearly has been the case as reflected in the first quarter results. The first quarter for them is a very interesting quarter and I think the fact that that seamlessly transitioned is a very healthy sign. Also the acquisitions they have made have been I mean to get into the Asian markets and the Pacific Rim at this time where you still have vibrant flows has been great. And we have had obviously as some of the liquidity issues have turned into litigation assignments they have done an awful lot of that work as well.
Kevane Wong – JMP Securities: Fantastic. Thank you guys.
Operator: And we will take our next question from Tim McHugh from William Blair & Co.
Timothy McHugh – William Blair & Co.: Good morning. I just wanted to quickly ask, we are running long here so I will keep it fairly short but you mentioned about trying to aggressively recruit in your economic group as I am sure as well as across the rest of the business. One, how is that fairing and two, in order to meet the growth that you are seeing would you get any more aggressive on signing bonuses or what else are you doing to lure more people in?
Male Speaker: Well, I think as we mentioned before we have a lot of momentum right now. So we have I don’t know that as an organization we said we need to increase our, I think we are in some respects an employer of choice. We just added a tremendous amount of people through the acquisitions we have done. The good news is that with the acquisitions with forensic accounting in London and with the Shaw Braun McCann group we have people that have a tremendous amount of ability to handle a lot of work. So I think we are right on plan, we are aggressively out there. We have not dramatically changed the parameters of what we pay to hire because we are getting our opportunity to be out there because the story is good. People come in, they have things like our stock purchase plan, a chance to get options if they are successful, a chance to enter our SMD program if they come here and be successful. And frankly they are finding this a good place to come in and cast our lots. I think we are very happy where we are.
Male Speaker: We are also benefitting from the travail in the financial markets. There a lot of talented people that are being displaced the retrenching of the investment banks, commercial banks, insurance companies at all. And then clearly we are not seeing the same type of competition from these institutions in our graduate school and college recruiting. So that may be a short term lull but it is a real opportunity for us certainly this year and probably next year to take advantage of the restructuring that they are going through at an opportunity where we are expanding rapidly.
Male Speaker: It is interesting too, talent likes to talent and winners like to follow winners. When we added 400 odd people through acquisitions every one of those people has a friend or an associate or what have you that they are talking to about the opportunity here and they in effect become our recruiting staff. So not only is our existing team and people thinking about adding their friends but when you add that many new people it is a whole new vein for us to mine.
Male Speaker: And I think at the higher professional level the enthusiasm for this new five year plan, the fact that it would really allow a professional to practice on a global platform that is going to rapidly grow in the toughest assignments for the biggest clients I cannot tell you how it makes it a much easier sell when you can lay that down in front of somebody to be able to attract them. So it is not the money that gets the people here. It is one the momentum and two a pretty clear sense of where they are going to go and the ability to practice their trade. And the money.
Kevane Wong – JMP Securities: You mentioned the college recruiting, can I just quickly follow up. How many are slated to join you later this year?
Male Speaker: Well, I think if you turn it around and say we are growing by 25% and you back out the I will use Jack’s sort of mat, you are probably going to see us probably bring in the second half
Kevane Wong – JMP Securities: Okay, then last question here if you could touch on the corporate expense was actually a little lower than I thought. Update us on plans to invest in branding initiatives, you mentioned the new office in Florida I believe it was for Latin America and other corporate level initiatives this year.
Male Speaker: Yes. Well we are building our a significant office in Florida. It will house not only the expansion of our Latin American operation which has run out of space already existing. We are doing a lot of work across the entire state of Florida in restructuring and probably that will pick up in litigation support so that office will really serve all of our operations as well as we are moving senior executives out of corporate into that to put them closer to what we see as a tremendous short term growth opportunity that really needs a lot of hands attention. But I would say the expense is a normal build out type of expense. We have 22 offices here in the states and we are in 22 to 23 countries. So we have a lot of offices so there is nothing extraordinary about that except that it is being really driven by the demand down there. Secondly I think that the corporate expense as a percentage of revenues I think we told you that we spent a lot of money the last three years to support a billion dollar company and to support a global platform and distribution. Clearly as revenues go up we would expect to see a percentage of the revenues that start to moderate. It will still go up but it will go up at a slower rate in its percentage of revenues would moderate
Jorge Celaya: And your observation is right. We did have in the first quarter as it always tends to happen a little slow down in some of the hiring we wanted to do. Delayed some marketing expenditures. So yes going forward looking back at the fourth quarter of last year the run rate and corporate expense may get back to that same level.
Kevane Wong – JMP Securities: Okay thank you.
Operator: And we will take our next question from Mark Bacurin with Robert W. Baird
Mark Bacurin - Robert W. Baird: Good morning. Most of my questions have been answered. I did want to drill down maybe on the economic consulting business. Just looking at the revenue trend there you were up about $12 million from Q4 which is obviously a very large sequential increase. And if I am looking at the numbers correctly it looked like flatish head count. I am wondering there where there big success fees in that quarter and then also the margin in EBITDA growth was not as robust and I heard you talk about the one higher there but were there also a heavier than normal use of outside consultants like there were in Q4 as well.
Male Speaker: You know it is funny because the decrease in revenue or the increase in revenue in the first quarter that is a very individual driven business and frankly Christmas and holidays can affect you there in that practice. That was purely seasonality. This quarters production from them is not out of the realm from something that is repeatable and replicable. In terms of the expenses they really were due to the new hire of the individual and these the big name economists are very expensive people but they tend over a period of time to be literally worth their weight in gold. The other thing is that we have a number of our big name economists are independent consultants with an exclusive to us but they are not technically employees although they receive a lot of money and were joined at the hip. When they get stock options and believe me that these people are brilliant people so they want them in FTI. We have to expense for them as variable rate accounting on the price of the options and we have a number of those and with the stock price in the first quarter we ended at a very high number, accelerated what the charge was for that in the quarter. So those are the two things that affected the margin there.
Mark Bacurin – Robert W. Baird: And just one final follow up. On the sub prime related engagements you are seeing I am just wondering the nature of some of those engagements. It seems to me we are probably from a timeline more in the discovery point if that is the right term of some of these engagements. And that the bigger revenue opportunities for you might come as we move into more formal investigation suits, et cetera. So just wondering maybe if you could help us understand the timeline and then how much revenue life there might be from some of those types of engagements.
Jack B. Dunn IV: As you remember I mentioned for example in our technology division we have exceptional capability to be able to analyze portfolios, trends, et cetera through the use of technology. That is heavy lifting and again extremely value to our clients. That is very intensive. In terms of some of the work we are doing with hedge funds or other parties who are in the middle of this crisis we are doing a lot of analysis work, a lot again heavy lifting. So I think what we think for some our segments there is a lot of work right now. What we were thinking is that as it extends into the litigation phase that is when you would tend to see more of an impact in our forensic and litigation division. And they think that is the second half of the year but more importantly continuing well into 2009 when you will see that. If you think about the crisis’ that we went through in 2001 and 2002 in terms of the Enrons and WorldComs you really saw that litigation begin in 2003 and 2004 and literally saw it just trail off in the last couple of years with the trials of Scrushy and Skillings and Lay, and that sort of thing. So it will have a good long life to it. It is just it will be heavy lifting for different divisions at different times.
Dominic DiNapoli: As Jack mentioned the litigation side of those projects happened later on but right now the corporate finance restructuring team is enjoying a significant amount of activity in sub prime and in all credit crisis related work. We are in a lot of the mono lines and we are working for a lot of the hedge funds. There is a lot of activity going on and a lot of revenue being generated on corporate finance and that will shift a year or 18 months from now to more of the litigation work to pick up the pieces and go after the alleged culprits that created the mess.
Operator: And we will take our next question from Michel Morin with Merrill Lynch
Michel Morin – Merrill Lynch: Yes good morning. I will keep this brief. In technology did you say that the two projects have already wound down?
Male Speaker: No we said they are either scaled came in or scaled up during the period and we would anticipate they will have some life but I wouldn’t say they have created a new level for the rest of history. They are shorter term projects related to litigation.
Michel Morin – Merrill Lynch: Okay but they will continue to contribute at least in Q2 to a certain extent.
Male Speaker: That would be our anticipation.
Michel Morin – Merrill Lynch: Okay and then the 30% organic growth, how much of that was from the currency.
Male Speaker: Very little.
Michel Morin – Merrill Lynch: And specifically within the communication segment would you happen to have that. Presumably that is where you have more international.
Male Speaker: Again it was very small.
Michel Morin – Merrill Lynch: Very small. Okay thanks.
Operator: And we will take our next question from Chuck Ruff with Insight Investments
Charles Ruff - Insight Investments: Hi. A very good quarter. Just a quick question. You had made a number of acquisitions right before or right after quarter end. Can you tell us how much the acquisition payments were after quarter end that are not reflected in the balance sheet and cash flow statement?
Male Speaker: Yes it was about 100 million dollars. I think if we go back to the call we said it was about 100 million dollars in cash.
Charles Ruff - Insight Investments: That is all I had. Thanks
Male Speaker: That is how we get to the 150 million availability in our cash and cash equivalents today as opposed to 250 or so at the end of the quarter.
Operator: And we do have a follow up question and it will be our last question for today’s question and answer session and it will come from Andrew Fones with UBS Security.
Andrew Fones – UBS Security: Hi. Thanks. Just regarding the 200 to 250 base point impact from these kind of short term makeshift drivers. Backing that margin out of the corporate finance and technology business in Q1 it looks to me as though the margins for those businesses would look somewhat similar to how they looked in Q1 ’07. Can you just kind of explain how we should think about the margin profile for those businesses as we go through the year. And then I have a follow up. Thanks
Dennis J. Schaughnessy: I will take a shot at that. I think in the aggregate what we are saying is we are comfortable that our typical margins for Q2 and Q3 which I think we said are in the 22.5 to 23.5% range would be what we would expect. In Q4 we would expect those to go up as they normally do in the fourth quarter because they benefited by new hires being employed by success fees and so you might see a 200 basis point to a 250 basis point increase in margin in Q4. I think that we don’t have enough, we feel that certainly given how busy corporate finance is there more pricing power there than has been in the past. If it continues to stay that way you will probably see some margin improvement there. But it is impossible to program that. You sort of have to experience that. On technology again gradually the margin will increase a little bit because your mix changes but we don’t think it would be sort of as dramatic as we have experienced in the first quarter because of simply the magnitude of the work that they had in some sensitive issues so I would say figure that the margins will look very similar to last year and we are just thankful that the quarter where we had really our traditionally lowest margins we had some good events that offset it.
Male Speaker: Andrew I would mention a couple of things. One when you take the you just can’t take the margin out without taking out the revenues and remember also in technology last year at this time we were explaining to you it was not the end of the world that the reason their margins were slightly lower than we all expected was because of the time in bringing on the operating center in London and that turned out to be a brilliant move. So I wouldn’t say that the technology margin would go back to the 32% of last year. I think you are going to have a very nice margin there for the rest of the year.
Male Speaker: And in our corporate finance Andrew. As the mix changes more restructuring may be a little less transaction advisory. We get higher margins on the restructuring work than we do on transaction advisory and the success fees are hard to figure when they are going to hit. We were fortunate this quarter to get significant success fees in corporate finance. We expect to continue to get success fees but probably not in any one quarter the magnitude that we achieved in first quarter.
Male Speaker: When you think about those especially in our healthcare related practice a lot of those are related to year long projects or things that have very visible and visceral benchmarks and they tend to come due around the end of the year. That is when you get the visibility so you get paid either at the end of the year or the very first part. That is why they are a little bit more heavily weighted in those periods. But we will have success fees throughout the entire year.
Michel Morin – Merrill Lynch: Okay thanks and I apologize if this one catches you somewhat by surprise but this morning Marsh McClennen announced that they may potentially sell parts of Kroll and in light of that I was wondering if you could tell us how you would approach potentially the financing of a large acquisition.
Male Speaker: I just looked at the release or the report of it so I don’t know that we have put a value on the pieces that are there. I don’t necessarily yet understand the strategy of what they are keeping and what they are spinning off and how those thing fit together. In terms of financing we have a tremendous amount of drive power as we described but we have not even looked at the situation yet. So I think the cart would be way ahead of that horse at this time.
Michel Morin – Merrill Lynch: Okay. Thank you.
Operator: And that concludes our question and answer session for today and I would like to turn the call over to management for any additional or closing remarks.
Jack B. Dunn, IV : I want to thank everyone for being on the call. We look forward to talking to you the next time. We look forward to the rest of this year and to the next five years for our five year 2012 plan.